Operator: Ladies and gentlemen, thank you for standing by. Welcome to Canadian Solar First Quarter 2024 Earnings Call. My name is [ Mei ], and I will be your operator for today [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Wina Huang, Head of Investor Relations of Canadian Solar. Please go ahead. 
Wina Huang: Thank you, operator, and welcome, everyone, to Canadian Solar's First Quarter 2024 Conference Call. Please note that today's conference call is accompanied with slides which are available on Canadian Solar Investor Relations website within the Events and Presentation section.  Joining us today are Dr. Shawn Qu, Chairman and CEO; Yan Zhuang, President of Canadian Solar's subsidiary, CSI Solar; Ismael Guerrero, Corporate VP and President of Canadian Solar's subsidiary, Recurrent Energy; Dr. Huifeng Chang, Senior VP and CFO; and Xinbo Zhu, who will be taking over the CFO position on May 15, 2024. All company executives will participate in the Q&A session after management's formal remarks. On this call, Shawn will go over some key messages for the quarter. Yan and Ismael will review business highlights for CSI Solar and Recurrent Energy, respectively, and Huifeng will go through the financial results. Shawn will conclude the prepared remarks with the business outlook, after which we will have time for questions. Before we begin, I would like to remind listeners that management's prepared remarks today as well as their answers to questions will contain forward-looking statements that are subject to risks and uncertainties. The company claims protection under the safe harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from management's current expectations. Any projections of the company's future performance represent management estimates as of today. Canadian Solar assumes no obligation to update these projections in the future, unless otherwise required by applicable law. A more detailed discussion of risks and uncertainties can be found in the company's annual report on Form 20-F filed with the Securities and Exchange Commission. Management's prepared remarks will be presented within the requirements of SEC regulation G regarding generally accepted accounting principles or GAAP. Some financial information presented during the call will be provided on both a GAAP and non-GAAP basis. By disclosing certain non-GAAP information, management intends to provide investors with additional information to enable further analysis of the company's performance and underlying trend. Management uses non-GAAP measures to better assess operating performance and to establish operational goals. Non-GAAP information should not be viewed by investors as a substitute for data prepared in accordance with GAAP. And now, I would like to turn the call over to Canadian Solar's Chairman and CEO, Dr. Shawn Qu. Shawn, please go ahead. 
Shawn Qu: Thank you, Wina, and thank you for -- to everyone for joining us -- for joining our first quarter call today.  Please turn to Slide 3. We deliver strong results in line with our guidance. In the first quarter of 2024, we delivered 6.3 gigawatts of solar module shipments, realizing revenue of #1.3 billion, and an improved gross margin of 19%. As we have mentioned in the past, our priority is to drive high quality, profitable growth, that means at times [ we're ] going low price the deals. In a challenging environment, our significant recovery in margin from that of last year's first -- of last year's final quarter underscores our resilience. Indeed, with respect to our module business, we are at a very difficult point in the cycle. Fierce competition is creating immense near-term headwinds for the industry. However, I hope we will see improvement in the second half as the market rationalizes. Demand continues to be strong and we are seeing signs of improvements in distributed generation market and certain regions. While prices have stabilized, it will remain at historically low levels. In April, during my presentation at Harvard University, I discussed how advances in Generative artificial intelligence are expected to boost electricity demand, and how solar coupled with energy storage is well equipped to support AI development. For example, in the U.S., 1 kilowatt solar system can generate approximately 4 kilowatt hours of electricity daily on average. Paired with a 2 kilowatt hour lithium battery energy storage system, this system can shift half of the electricity generated for nighttime use, creating a reliable and controllable energy supply around the clock. The resulting levelized cost of electricity can be as low as $0.07 per kilowatt hour, comparative with fossil fuels, even without accounting the carbon credits. As AI development accelerates, it is crucial that we do not compromise our climate change objectives, ensuring that the surge in electricity demand is sourced from clean energy. The world is quickly evolving and we are instrumental in driving these changes. Amidst a dynamic industry landscape, we're deploying tailored strategies across our increasingly diverse business. In our module business we focus on achieving profitable growth, increasing our market share in key strategic market. At Recurring Energy, we are in the process of finalizing the BlackRock investment, and advancing our extensive pipeline of solar and battery energy storage projects. At the same time, our e-STORAGE platform is experiencing rapid growth, as we secure our contracts in new market and enhance our proprietary technologies for both utility-scale and residential applications. Next, I would like to discuss our progress and achievements in environmental, social and governance practices. Please turn to Slide 4. Today, differentiation in our industry takes many forms. Our customers and partners ranging from financial institutions to sophisticated project developers and utility companies are increasingly focus on ESG. Operating transparently and sustainably yields substantial commercial impact, and here our leadership is evident. Highlighting just 2 of our recent achievements, we were awarded Silver rating by EcoVadis, one of the world's largest and most trusted providers of business sustainability ratings. Canadian Solar scored especially high in the environmental and sustainable procurement categories, placing in a top 5s of companies rated by EcoVadis in our industry. We are also pleased to win for the second time Environmental Finance Green Project Bond of the Year awarded for our USD 120 million green samurai private placement. The award recognizes our innovative financing strategies in our global development business. We look forward to sharing more details in our upcoming annual sustainability report, which we expect to release in the coming weeks. Lastly, I would like to address the concerns regarding the recent filed anti-dumping and countervailing duty petition. While we will not speculate about ongoing cases, I want to convey our confidence in the face of any political -- any potential challenges that may arise. We have been navigating similar cases for over a decade, and have time and time again managed risk effectively on behalf of both of our company and our customers and partners. Furthermore, as Thailand is both a WTO member and a market economy, it likely faces lower AD/CVD risks. Our local leadership and professional cross-functional teams are among our key competitive edges. As a Canadian company with a plan to invest over $1 billion in new manufacturing in the U.S., we hope to continue playing our part in ensuring a long-term and resilient domestic solar supply chain. With that, let me turn the call over to Yan, who will provide more details on our CSI solar business. Yan, please go ahead. 
Yan Zhuang: Thank you, Shawn. Please turn to Slide 5. In the first quarter of 2024, we shipped 6.3 gigawatts of modules, with North America accounting for over 20% of the total share. Revenue reached $1.3 billion, and our gross margin increased 630 basis points quarter-over-quarter to 18.4%. Despite a significant decrease in module prices compared to the same period last year, and a contraction in the overall profit margin of the industry, CSI Solar still posted an operating income of $82 million.  As Shawn highlighted, these gains in profitability are due to our deliberate management of volume and the boost from our expanding energy storage business. While the first quarter is seasonally softer, our results were primarily driven by our team's disciplined execution. Let us walk through some key drivers. Please turn to Slide 6. Our costs in the solar module business continued to decline as we expand our N-type TOPCon capacity, a trend bolstered by the recent reduction in polysilicon prices. Our processing costs are decreasing, although moderated by planned expansions in the second half. These include our upstream investments in ingots and wafers, as well as U.S. manufacturing. With increased vertical integration, we aim to further reduce costs and enhance control over our supply chain. Following the rationalization of our capacity expansion plans starting last year, our utilization levels have remained healthy. In terms of the market, we see demand is robust, but price sensitive. We remain hopeful of a recovery in ASPs in the second half, although this improvement may be moderated by the availability of low-cost PERC products. Against this challenging backdrop, we are combining strategic order management with cost savings to navigate the market effectively. In the [ views ] of both solar and energy storage, we are intensifying our investment in research and development. Our R&D team has grown to nearly 1,300 members. Today, our mass production TOPCon cell efficiency has reached 26.5%. In energy storage, we are dedicating R&D efforts to both upstream and downstream initiatives, thereby enhancing our graphs on technology for both commercial and strategic purposes. As Shawn highlighted, we are committed to ESG principles, and have been continuously advancing our technology and operations to reduce carbon emissions throughout the entire product life cycles. We have received not only the French Carbon Footprint certification or ECS, but also the [ Thailand ] Environmental Product Declaration or EPD certification. Additionally, our Thailand module factory is the first facility outside of Korea to earn the Korean Carbon Footprint Certification. Turning to e-STORAGE. Please refer to Page 7. In the first quarter, we recognized revenue from over 1.1 gigawatt hours of shipped product. The revenue and volume of this quarter topped the total for all of 2023. We currently have a significant backlog valued at $2.5 billion. Our contracted backlog reflects both newly contracted opportunities and reductions from revenue recognition. Given energy storage is a project-by-project business, its growth may be uneven. Regarding manufacturing capacity of energy storage, we have not only achieved our target of 20 gigawatt hours for the year, but also plan to expand further next year to 30 gigawatt hours in response to our robust demand. Additionally, with our impeccable track record, e-STORAGE is proud to have earned a place on the prestigious Bloomberg NEF energy storage Tier 1 list for the second quarter of 2024. This award recognizes e-STORAGE as a leader in delivering bankable and reliable energy storage solutions globally. Finally, I'm pleased to provide encouraging updates regarding UFLPA detentions. Since our first detainment in the second half of last year, we have fully cooperated with CBP to provide detailed information, demonstrating our strict traceability procedures. We're happy to share that at this point, a majority of our bonds have been approved for release, and now have been excluded. In terms of the impact to our customers, we believe we have addressed associated risks almost in their entirety. Now let me hand over to Ismael to provide an overview of Recurrent Energy, Canadian Solar's global project development business. Ismael, please go ahead. 
Ismael Arias: Thank you, Yan. Please turn to Slide 8. Since the announcement of BlackRock's $500 million commitment in January, we have made swift progress. Having secured most requisite regulatory approvals, we anticipate closing within the next few months. As part of this transaction and in our commitment to enhancing ESG transparency, Recurring Energy is actively developing an independent ESG strategy to guide our future growth. In early 2024, we joined forces with a reputable, sustainable firm to conduct a comprehensive double materiality assessment, aligning with the guidelines of the European Union's corporate sustainability [ reporting ]. This assessment aims to pinpoint ESG issues that hold significant for our business, including both risks and opportunities as well as our operational impact on these matters. We remain laser focused with our goal of operating 4 gigawatts of solar and 2 gigawatt hours of BESS by 2026. We are focused on advancing our substantial [indiscernible] projects, including approximately 1.5 gigawatts of solar projects that are currently under construction. [Technical Difficulty] AI represents a significant opportunity, and we are witnessing this demand firsthand in our business. We have already secured nearly 700 megawatts of PPAs with top cloud service providers, and are in the process of negotiating hundreds more megawatts of PPAs. More broadly, we continue to target 70% to 80% of our generation asset to be secured under long-term contracts exceeding 10 years with top-tier companies from a financial rating perspective. Now moving on to quarterly performance. Please turn to Page 9. The first quarter was relatively modest with no major project sales. We achieved $39 million revenue with a gross margin of 33.1%. During this period, we also strengthened our footprint in Spain through a strategic acquisition, which added over 420 megawatts to our project pipeline. Currently, we have projects at different stages of development in Spain, and we anticipate getting [indiscernible] of more than 1 gigawatt of solar projects in the country in 2024. Turning to Page 10. We are [indiscernible] to have one of the world's largest and most mature solar and energy storage project development pipelines. I would like to particularly highlight our recent progress in the Japanese BESS market, where as of March 31, 2024, our solar and BESS project development pipelines have reached 240 megawatts and [indiscernible] 1.7 gigawatt hours, respectively. The unveiling of the Long-Term Decarbonization Auction, or LTDA results on April 26, represents a significant milestone for Japan's energy landscape. This system [indiscernible] technologies provides long-term income predictability for projects, including those involving battery energy storage. We are honored to have secured 3 of the best projects in this auction, the 93 megawatts, which accounts for 13.3% of the total awarded energy storage projects. Now let me hand over to Huifeng, who will go through our financial results in more detail. Huifeng, please go ahead. 
Huifeng Chang: Thank you, Ismael. Please turn to Slide 11. In Q1, we delivered $1.3 billion revenue and a gross margin of 19%, in line with guidance, respectively. The sequential decrease in revenue primarily reflects a decline in solar module shipment volume and a decline in module average selling price, which were partially offset by higher battery energy storage solution sales. Gross margin improved 650 basis points quarter-over-quarter due to strategic management of module volume coupled with uplift from e-STORAGE. Operating expenses declined in Q1, mainly driven by lower G&A costs due to cost-cutting measures. Shipping costs temporarily increased due to the Red Sea crisis that have since decreased. Net interest expense improved sequentially by $17 million, mainly driven by $19 million of interest received on refunds of the AD/CVD deposits from the Solar 1 proceeding. Total net income was $12 million or $0.19 per diluted share. Now on to cash flow and the balance sheet. Please turn to Slide 12. Net cash flow used in operating activities in the first quarter of 2024 was $291 million. The sequential decrease in operating cash flow primarily resulted from increased inventories and project assets. Our total assets have passed [ $12 billion ], driven by significant growth in product assets and solar power systems, setting the stage for future profit generation. In the first quarter, we spent around $266 million in CapEx, progressing our U.S. supply chain and TOPCon manufacturing capabilities. Our full year 2024 CapEx expectation remains unchanged at approximately $1.8 billion. We ended the period with a healthy cash balance of $2.9 billion and a total debt of $4.3 billion, which reflects incremental borrowings for working capital and additional vertical integration for CSI Solar, as well as new product development for Recurrent Energy. Lastly, I would like to say a few words about the CFO transition, and please turn to Slide 13. I want to thank Shawn, the Board of Directors, and our shareholders for the opportunity they have extended me over the past 8 years. Canadian Solar has now evolved into a globally leading provider of solar and energy storage solutions, spanning both manufacturing and project development. As both our company and the world have evolved, I see my role transforming as well. I'm excited to continue making impact to the company, notably in our U.S. business operations through my new position as Chief Strategy Officer. I confidently hand over the reins to Xinbo, whom I have worked closely with throughout my journey at Canadian Solar. I'm confident he will contribute to the company achieving even greater [ feats ]. Before I hand the call over to Shawn, let's pause for a moment to hear from Xinbo. 
Xinbo Zhu: Thank you, Huifeng. I'm grateful to Shawn and the company's Board of Directors for entrusting me with this new role. I would also like to thank Huifeng for his invaluable guidance and support throughout the transition period and look forward to working with the Board and the Canadian Solar senior management and finance team to continue executing on our vision and strategy, ensuring long-term value for our shareholders. Now let me turn the call back to Shawn, who will conclude with our guidance and business outlook. 
Shawn Qu: Thanks, Huifeng, and thanks, Xinbo. Let's turn to Slide 14. For the second quarter of 2024, we expect solar module shipments by CSI Solar to be in the range of 7.5 to 8 gigawatts, including approximately 100 megawatts of solar module shipment to our own projects. Total battery energy storage shipments are expected to be between 1.4 to 1.6 gigawatt hours, including about 800 megawatt hours to the company's own project. Total revenues are expected to be in the range of $1.5 billion to $1.7 billion. Gross margin is expected to be between 16% to 18%. Regarding our outlook for the later half of the year, I would like to highlight 4 key trends. We remain hopeful of an improvement in both supply/demand dynamics and profit levels within the industry during the second half. e-STORAGE is expected to significantly contribute to our revenue and profitability, even more so in the second half than in the first. Our advanced N-type TOPCon capacity will continue to ramp up enhancing efficiency, yield and cost to meet market demand, which is rapidly [indiscernible] our PERC. We expect continued improvements in distribution generation market where we have traditionally excelled. With that in mind, for the full year of 2024, we are adjusting CSI Solar's total solar module shipment guidance to be in the range of 35 to 40 gigawatts. We expect full year revenue to be in the range of USD 7.3 billion to USD 8.3 billion. Our revised shipment and revenue forecast underscore our dedication to profitable growth as we navigate a challenging macroenvironment. With that, I would now like to open the floor for questions. 
Operator: [Operator Instructions] Your first question comes from Colin Rusch of Oppenheimer. 
Colin Rusch: Could you talk about the pricing dynamics for utility-scale batteries? And what you are seeing in terms of trajectory and how that translates into margin for the company? Obviously, with the rationalization of the supply chain on the cell production side, there's some potential for margin expansion, but curious how you guys are thinking about that, those 2 trajectories matching up as it flows through the guidance? 
Shawn Qu: Yes, Colin. I would like to ask Yan to provide a comment on this question. 
Yan Zhuang: Right. This is Yan. So actually, as you know, that contract signing or negotiation for utility storage contracts has always been like 1 -- at least 1 or even 2 years ahead of shipping. So we've been signing contracts and most of our contracts are indexed over the lithium covenant pricing. So we're protected in terms of margin, and this margin is healthy. Even for the pipeline that we're negotiating today for 2025, 2026, sometimes even 2027, we're still seeing a healthy margin. So we're actually pretty safe there. 
Colin Rusch: And then just shifting gears to Recurrent and construction time frames. Can you talk a little bit about what you're seeing in terms of not just grid access permits and interconnection permits, but really just the construction time frames? And what you're seeing at the civil level, both in the U.S. and Europe right now in terms of the cadence of that and any sort of slowness or ability to quicken the pace on those construction time frames? 
Shawn Qu: Yes, I think this question is to -- for Recurrent, so Ismael, do you want to comment? 
Ismael Arias: Sure. Thanks for the question, Colin. We are not experiencing in the civil works significant delays or anything of the sort, but we see many of the EPC [ competitor ][indiscernible]. So what we are doing is engaging with them way before construction start, like 1 year before or 1.5 years before, when we start doing engineering detail analysis, so we can make sure that these teams are ready by the time the EPC kicks off. It's taken 9 months to build a site of reasonable size, 150 megawatts or so roughly. In Europe it's more difficult. That's why we took an action last year to acquire an EPC company to grow our own EPC in Europe. When [indiscernible] way more saturated on Europe. So we acquired a company that has their own [ piling ] machines and everything, and thanks to that, we have been able to get reasonable time lines on execution like 1 year, something like that. I hope it helps, Colin. 
Operator: Your next question comes from the line of Praneeth Satish with Wells Fargo. 
Praneeth Satish: So I guess on the revised guidance for module shipments in 2024, still assumes kind of a sharp recovery in the back half of the year. Maybe if you can just kind of unpack the drivers, the confidence level that you have in that recovery?  And then as a follow-up, I think you've been kind of prioritizing margin here with shipments in the first half. So as you see a recovery in the second half, do you think you can kind of maintain gross margins at the 17% to 19% type of range? How should we think about that? 
Shawn Qu: Yes. I will still ask Yan to comment on this question. Yan? 
Yan Zhuang: Okay. So we realize the oversupply situation, but we still believe that the demand in the second half is going to be stronger than the first half. And also, we're continuously reducing our cost on both COGS and OpEx. And our TOPCon capacity will continue to ramp up and improve. And so also, we believe that the distribution channel, which is the DG market in -- mature markets are recovering. So we are confident that we can actually get more volume at a reasonable margin moving in the second half of the year. 
Praneeth Satish: And then maybe just switching gears. So on the AI data center site, obviously, a lot of power consumption coming. I guess in the U.S. on the CSI Solar business, on the module business, are you seeing any data centers or data center developers come to you directly to start preparing for load generation later this decade? How large of a pipeline do you think this is? And then do you think there's an opportunity here to maybe enter into some multiyear supply contracts, just given the visibility of this growth? 
Shawn Qu: CSI Solar typically deal with developers and EPC companies. And the EPC developers, they deal with the data center. So I would ask Ismael to provide some color on the data center activities. 
Ismael Arias: Thank you, Shawn. Look, what we are seeing is -- first of all, we saw a big shift on re-signing the PPAs. And by far, the #1 PPA signing company in the world right now is Amazon, and they are very keen on keep on signing as much as they can. The top 4 PPAs [ signing ] companies are the IT companies, and they are engaging with us on several years agreement to do development basically for them, based on their expectations on where they are going to be having all this [indiscernible]. And we are even discussing to go further beyond our services to these companies because they are truly struggling to have the power they need on time. And the projections they have for the short-term are much higher than what we see on any of the reports that are usually distributed on the market. 
Operator: Your next question comes from the line of Philip Shen of Roth Capital. 
Philip Shen: First one is around the U.S. I was wondering if you could share the percentage of revenue and shipments from the U.S. in Q1? And what's your expectation for Q2 and Q3? 
Shawn Qu: Well, Philip, this is Shawn. On one of our slides, I think the second page or the third page of the slide, we show the shipment. And North America is 23% in terms of gigawatt shipments. And North America is yes, more or less U.S. and Canada is a small market. 
Philip Shen: And so as you think about the anti -- sorry, the AD/CVD case on Southeast Asia, is it fair to assume that the mix should be the same for Q2, roughly maybe 25%? And then for Q3 and Q4, would you expect that to go down? Or do you expect an increase or still the same? 
Shawn Qu: I would expect it to be more or less 20%. As you know, our new annual module shipment guidance is 35 to 40 gigawatts and in previous earnings calls, you asked me what is our expectation of U.S. shipment, right, for the year. And I believe Thomas and I answered this question, we said around 10 gigawatts. That was in the last earnings call. So its around 20%. 
Philip Shen: And then from the 45x standpoint, I'm sorry if I missed this, but did you guys share the benefit in Q1? Can you share, if not, what it was? And then what you expect in Q2 and Q3? 
Shawn Qu: Well, the 45x, the IRA incentive is for U.S. module production. We just -- we are still ramping up the U.S. factory. So the Q1 shipment from the Mesquite factory, yes, is still small, insignificant compared with like the total 6.3 gigawatts. Now from Q2 on, we'll see -- hopefully, from Q2 on we will see significant numbers. So I would be more than happy to share, to address this question again in 3 months when we report Q2. 
Operator: Your next question comes from the line of Brian Lee with Goldman Sachs. 
Brian Lee: I might have missed this, but could you give us a little bit of color behind the gross margin guidance for 2Q? I mean you had a really solid gross margin results in 1Q, and it sounded like battery storage was part of that. So why are gross margins being guided down in 2Q despite the higher mix of battery? And then you even mentioned some lower costs on the module side and you have higher revenues. So just wondering what's driving the lower gross margin view into 2Q? 
Shawn Qu: I believe our Q1 actual gross margin exceeded our guiding range, and on the top of the guiding range. So I hope in Q2 we can also do better than we guide. When we provide guidance, we do it according to the current numbers. And it's difficult to be so accurate. So I would say, I'm not going to say the 16% to 18% guidance is not much lower than the 19% actually realized. I will say that's the same range. And talking about the cost, indeed, the cost of solar modules and the materials, especially the silicon-related materials, went down again in the past a few weeks. However, maybe in some of the markets -- some of the low-end market, the price moved down as well. So that's why we are cautious in modeling our gross margin for Q2. But as I said, I hope we can report a better number than what we guided. 
Brian Lee: So maybe some conservatism baked into that. If we drill down into that a bit more then, can you give us a sense for what gross margin expectation you're embedding for the 2Q guidance for solar modules versus the gross margin you're embedding for battery storage just in the 2Q guidance? And then what do you expect for gross margin cadence for both various product sets within CSI Solar in the second half of the year? 
Shawn Qu: Yes. I will let Yan to provide color on these details. 
Yan Zhuang: Right. So on the gross margin, we don't separate. We don't disclose the separation of the margin, but I can tell you in the previous calls we mentioned about 20% -- around 20% for utility-scale storage. So on the module side, as Shawn has mentioned that we try to be conservative because we try also to sell more in Q2. So we try to grab more volume while achieving a healthy margin. So let's see if we can do better. So for moving into second half, well, we have a lot of uncertainties for second half, I have to say, but we all know that it's not going to be worse than the first half. This is our bet, our belief. And we're confident that we actually continue to improve on both cost and quality of our capacity. And especially we have strong confidence in our e-STORAGE business, which is getting significantly stronger in the second half. So also, we're seeing, aside from the distribution channel in U.S., Europe and Japan are bouncing back on both pricing and demand. We're also seeing new markets are actually growing faster. So that is also somewhere that we can grow. So I think I hope that answered your question. 
Operator: There are no further questions at this time. I'll turn the call over to the management. Please continue. 
Shawn Qu: Thank you for joining us today. And also thank you for your continued support. If you have any questions or would like to set up a call, please contact our Investor Relations team. Take care, and have a nice day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.